Operator: Good morning, ladies and gentleman, and welcome to the Heritage-Crystal Clean, Incorporated First Quarter 2023 Earnings Conference Call. Today’s call is being recorded. At this time, all callers’ microphones are muted and you will have an opportunity at the end of the presentation to ask your questions. [Operator Instructions] With us today from the company are the President and Chief Executive Officer, Mr. Brian Recatto; and the Executive Vice President and Chief Financial Officer, Mr. Mark DeVita. At this time, I would like to turn the call over to Mark DeVita. Please go ahead, sir.
Mark DeVita: Thank you, Jerald and good morning everyone. Some of the comments we will make today are forward-looking. These forward-looking statements speak as of today and you should not rely on them as representing our views in the future. We undertake no obligation to update these statements after this call. Please refer to our SEC filings, including our Annual Report on Form 10-K, as well as our earnings release posted on our website for more detailed description of the risk factors that may affect our results. Copies of these documents may be obtained from the SEC or by visiting the Investor Relations section of our website. Also, please note that certain financial measures we may use on this call are non-GAAP measures. Please see our website for reconciliations of these non-GAAP financial measures to GAAP. We want to remind everyone that we have begun reporting our results in three segments, beginning in the first quarter of 2023. Our Oil Business segment will continue to reflect the same activities reflected in the Oil Business segment in the past. However, we have begun to report the results from the former Patriot Environmental business, the HCC Legacy Field Services business, and the operations of our non-hazardous waste processing facilities in our new Industrial and Field Services segment. The remainder of the activity historically reported in the Environmental Services segment will continue to be reported in the new Environmental Services segment. In addition to the reporting segment change I just discussed, beginning with our 2023 fiscal year, we are reporting our results on a calendar quarter and calendar year basis. For more information about our company, please visit our website. Now I would like to turn the call over to Brian Recatto to start.
Brian Recatto: Thank you, Mark. Good morning everyone, and thank you for joining us today. On behalf of the entire Crystal Clean team, we’re very pleased to report our first quarter earnings yesterday, along with our financial reporting changes Mark mentioned earlier. On a total company basis, we perform well during the quarter, setting records for revenue, net income, earnings per share and EBITDA when compared to the prior year quarter. Total first quarter revenue was a three month quarter record at $193.5 million, which helped produce EBITDA of $36.2 million, which was up 50.4% compared to the first quarter of 2022. Now I’d like to discuss the results in our reporting segments. Let’s start with the Environmental Services segment first. In the Environmental Services segment, revenue for the first quarter of 2023 was $94.8 million compared to $73.5 million for the same quarter of 2022. This represents a record high for a three month quarter and an increase of $21.2 million or 28.9% from the year ago quarter. The increase in revenue was mainly due to increased demand and higher prices for our services compared to the prior year quarter. We experienced revenue increases across all service lines in the segment when compared to the first quarter of 2022. Environmental Services profit before corporate selling, general and administrative expenses was $22.7 million or 24% of revenue compared to $13.1 million or 17.7% of revenue in the year ago quarter. The increase in operating margin percentage was mainly driven by the price increase we initiated in December of 2022. Now let’s discuss the Industrial and Field Services segment. Industrial and Field Services revenue was $45.8 million for the first quarter of 2023 compared to $11.1 million for the first quarter of fiscal 2022. The $34.7 million increase in revenue was mainly driven by revenue from our acquisition of Patriot Environmental Services during the second half of 2022, and to a lesser extent by higher demand than increased prices in our Legacy Field Services business. Industrial and Field Services profit before corporate SG&A expense increased $6.4 million or 583.6% in the first quarter of 2023 compared to the first quarter of fiscal 2022. Operating margin for the first quarter of 2023 was 16.3% compared to the recast margin of 9.8% in the first quarter of 2022. The increase in operating margin was mainly driven by increased revenues and better contribution margin from the Patriot Environmental acquisition made during the second half of 2022. From an integration standpoint, the Patriot acquisition has performed better than expected, and cost reduction synergies are unplanned. Let’s now move on to the Oil Business segment. Before we discuss the financial performance, I want to highlight our re-refinery has worked $1.2 million man hours in almost seven years without a recordable injury. I want to thank our team members for this tremendous accomplishment. During the first quarter of fiscal 2023, Oil Business revenue was $53 million, a decrease of $1.8 million or 3.2% compared to $54.7 million in the first quarter of fiscal 2022. A decrease in revenue was mainly due to a decrease in base oil sales volume compared to the prior year quarter partially offset by an increase in base oil sales price. Oil Business segment operating margin decreased to 26.5% compared to 33.8% in the first quarter of fiscal 2022. The lower operating margin compared to the first quarter of 2022 was mainly due to a decrease in revenue from lower base oil sales volume along with increased labor and transportation expenses. Increased labor costs as a percentage of revenue was due to our decision to intentionally slow the run rate at the re-refinery as a result of softer than expected base oil demand. Despite the slower run rate, our re-refinery team continued to execute well during the first quarter. We produced 12.1 million gallons of base oil during the first quarter, which was 1.8% higher than the year ago quarter. Now, I would like to look forward and discuss our near-term future outlook. In our Environmental Services segment, we expect revenue growth in the mid-teens during the second quarter as macroeconomic indicators continue to show signs of a softening economy. From an operating margin standpoint, while certain operating costs have moderated, we have been facing and expect to continue to face inflationary pressure in some areas of our business, such as third-party hazardous waste disposal. We will continue to monitor these cost pressures and if necessary, consider additional pricing actions. We expect second quarter operating margin in the Environmental Services segment to be relatively flat to the first quarter of 2023. From an Industrial and Field Services segment perspective, we continue to see strong demand and growth. On a year-over-year basis, we expect our revenue increase will be significant. On a sequential basis, we expect at least single digit and possibly higher revenue growth compared to the first quarter of 2023. From an operating margin percentage standpoint, we expect to be in the mid-teens range. Longer term, we are adding significant drum processing capabilities to our Industrial and Field Services segment, which will begin to lower our reliance on third-party suppliers while increasing margin contribution. For the Oil Business segment, our base oil pricing has been down sequentially for the past two quarters. And we expected to continue to move lower during the second quarter. This price decline has been driven by unseasonably soft demand as there has been no sign of the increase in demand we typically experience at the beginning of the second quarter. Due to the soft base oil market and the fact that we built base oil inventory during the first quarter, we plan to take our once per year extended shutdown at the re-refinery during the second quarter. Moving the timing of our extended shutdown into the second quarter will result in more downtime during the quarter and should put downward pressure on our operating margin. From a used motor oil standpoint, we’ll work to offset the impact of declining base oil pricing by lowering the price we pay for collected oil. As a result, we expect our operating margin percentage for our Oil Business segment to be in the mid to high teens for the second quarter and then moving above 20% for the balance of the year. With that, Mark will take us through our first quarter financial results.
Mark DeVita: Thanks, Brian. As Brian mentioned earlier, during the first quarter of 2023, we set our revenue record for a three-month quarter. The increase in revenue was mainly driven by revenue from the Patriot Environmental acquisition made during the second half of 2022, as well as higher demand and increased prices for our products and services in our Environmental Services and Industrial and Field Services segments. Net income was $16.6 million or $0.70 per diluted share for the first quarter of 2023. This compares the net income of $12.9 million or $0.55 per diluted share in the year earlier quarter, which represents a basic earnings per share increase of 27.3% compared to the first quarter of 2022. If you adjust out the four additional working days, we estimate basic earnings per share would’ve increased by 19.8%. Let’s move on to the details of our Environmental Services segment results. The revenue increase Brian spoke of during the first quarter was mainly due to the continued increase in both the demand for our services and higher pricing for said [ph] services compared to the prior year quarter. In the parts cleaning, wastewater vacuum and antifreeze businesses, our revenue growth was roughly split evenly between price and volume. In the containerized waste business, while we did deliver higher prices, increased volume was the main driver of our revenue growth during the first quarter compared to the first quarter of 2022. Environmental Services profit before corporate selling, general, administrative expenses was $22.7 million or 24% of revenue compared to $13.1 million or 17.7% of revenue in the year ago quarter. The increase in operating margin was mainly driven by increased leverage on our labor and benefits costs as a result of rising revenue. Disposal cost as a percentage of revenue was also lower than a year ago quarter when disposal costs were increasing rapidly. Now, let’s discuss Industrial and Field Services. Brian already discussed the significant increase in segment revenues during the quarter. So let’s discuss our operating margin in this segment. Industrial and Field Services profit before corporate SG&A expense as a percentage of revenue increased to 16.3% compared to the recast percentage of 9.8% in the year ago quarter.  Our first quarter operating margin is reflective of a permanent change we made during the quarter to reclassify certain labor and benefit costs for field-based employees of the former Patriot Environmental business from corporate SG&A expense to operating expense. For the first quarter, these expenses amounted to approximately $1.5 million. If we had not made this change, our operating margin percentage for the first quarter in this segment would have been 19.5%. The increase in operating margin was mainly driven by increased revenues in comparison with the increase in operating costs as a result of the Patriot Environmental acquisition made during the second half of 2022. Before I move on to the Oil Business segment, I want to point out that the operating margin percentage of the combined Environmental Services and Industrial and Field Services segments would have been 22.5% or 130 basis points higher than the operating margin percentage when the two segments were still combined in Q4 2022. If we would not have moved the labor and benefit costs described earlier from corporate SG&A expense to operating expense. Let’s now discuss the Oil Business segment. Since Brian already discussed our overall revenue and operating market performance and the drivers for it. I will jump into the detail. During the first quarter, we increased the volume of used oil we collected by 12% compared to the year ago quarter after adjusting for four additional working days during the first quarter of 2023 compared to the first quarter of fiscal 2022. Our net pay for oil during the first quarter of 2023 increased $0.13 per gallon compared to the first quarter of 2022. However, sequentially our pay for oil decreased by $0.04 per gallon from the fourth quarter of fiscal 2022 to the first quarter of 2023. This marks the first time in the last 10 quarters that our net pay for oil decreased. The cost of third-party used oil feedstock increased by $0.05 per gallon from the fourth quarter of 2022 to the first quarter of 2023. On the positive side, we decreased our volume of third-party feedstock purchases by 52% compared to the first quarter of fiscal 2022. After adjusting for the four extra working days in the first quarter of 2023, compared to the first quarter of fiscal 2022. From an operations perspective, we ran our re-refinery at 97.1% of nameplate base oil capacity during the first quarter. The below 100% run rate was driven by our decision to run the facility as slower rate due to the soft base oil demand, Brian mentioned earlier. For the quarter, we produced 12.1 million gallons of base oil compared to 11.9 million gallons during the first quarter of 2022. After adjusting for the longer first quarter during 2023, base oil production was approximately 5% lower than the first quarter of 2022. From a sales perspective, we sold 10.2 million gallons of base oil during the first quarter of 2023. This represents a decrease of 19% compared to the year ago quarter after adjusting for the longer first quarter of 2023 compared to the first quarter of fiscal 2022. Our total company operating costs as a percentage of revenue decreased to 72.4% during the first quarter of 2023 compared to 73% in the first quarter of 2022. The decrease is mainly due to lower oil inventory costs of goods sold in lower transportation expenses. Overall, corporate SG&A expense of $20.7 million represents an increase of $5.4 million or 35.5% compared to the year ago quarter. Driven by an increase in compensation and benefits expense, interest expense, legal fees and higher permit and intangible amortization expense. We estimate that the four additional working days and 2023 increased corporate SG&A expense by 8.5% compared to the first quarter of 2022. Approximately 26% of this increase was driven by the acquisition of Patriot Environmental. As a percentage of revenue corporate SG&A expense during the first quarter decreased to 10.7% compared to a 11% during the first quarter of last year. The decrease in corporate SG&A expenses, a percentage of revenue is mainly due to lower share based compensation expense and lower professional fees. EBITDA of $36.2 million was a first quarter record and up 50.4% compared to $24.1 million in a year ago quarter. Test [ph] out the four additional working days, we estimate EBITDA would’ve increased by 41%. The company’s effective income tax rate for the first quarter of fiscal 2023 was 25.3% compared to 25.7% in the first quarter of fiscal 2022. The rate decreased is principally attributable to the decreased impact of certain adjustments to financial reporting income due to increased levels of profitability as compared to the first quarter of fiscal 2022. Looking at the balance sheet, we had an increase of $13.3 million in cash during the first quarter compared to year end, which resulted in a balance of $35.3 million of cash on hand at the end of the quarter. The beginning of the second quarter, we made a $5 million payment on our revolving loan. Our primary sources of liquidity for the quarter were cash flows from operations and funds available to borrow under our revolving bank credit facility. We generated $25.7 million in cash flow from operations during the quarter. We also generated free cash flow of $15.7 million during the first quarter of 2023 compared to $15.4 million during the first quarter of 2022. We continue to pursue various tuck-in acquisitions and we are prepared to go after more transformational opportunities as they arise. Now, I’ll turn the call back over to Brian for some closing remarks.
Brian Recatto: Thank you, Mark. To recap, we’re excited with the strong organic top-line growth we’re experiencing in our Environmental Services segment, and we’re pleased with the sequential improvement of our operating margin during the quarter. We’re also very happy with the progress we’re making in our Industrial and Field Services segment, and we’re also excited about the opportunities we continue to see related to our integrated PFAS solution. Finally, we continue to be pleased with the execution of the Oil Business segment, despite the volume and price declines we’ve seen in the base oil market.  This concludes our prepared remarks. I will now turn control of the call over to the operator to take your questions.
Operator: [Operator Instructions] Your first question comes from the line of Tobey Sommer of Truist Securities. Please go ahead.
Tobey Sommer: Thanks. 
Brian Recatto: Good morning Tobey. 
Mark DeVita: Thank you for picking up. 
Brian Recatto: Yes, we wanted to make sure you got your question.
Tobey Sommer: Yes. I appreciate that. Could you discuss your, the relative increases in the company’s costs, so cost to the company, kind of what you’re seeing there and the increases that you’re able to pass on to your customer, sort of how hard is it to stay ahead and avoid a margin squeeze?
Brian Recatto: Yes, I’ll talk at a macro level and Mark can chime in. You didn’t follow our story the last, post the pandemic. Obviously we battled on just a lot of supply chain issues in 2022, less so today. The issues that we’re dealing with now are relative to a fact up disposal complex. If you listen to our competitor’s conference calls, lots of demand for hazardous waste services. So our expectation for the balance of this year is, will fight that issue. The rest of the supply chain has improved. We’re not seeing meaningful price increases for from other vendors. Transportation supply as normalizing out just general supplies to support our client base are, are much better today than they were a year ago. So we’re going to be dealing with hazardous waste disposal issues, price increases relative to that. We’re confident as we have over the past two years, we can pass the price on. And as you’ve seen, looking back at our history over the last 18 months to 24 months, we’ve really just been kind of treading water on the price increases, matching what people have been hitting us with. We caught up in Q1. We’re going to have to react again to what we expect will be price increases, probably as Q2 from some of our hazardous waste disposal vendors.
Mark DeVita: We can get into some of the details offline, Tobey, but Brian’s mentioned that, forget year-over-year, just sequentially here we, the margin ticked up in environmental services we expected, seasonally, it’s usually from Q4 to Q1, usually been, send some of the craziness with the pandemic tougher. And while we have seen areas like Tran [ph] sequentially getting a little better or even though we haven’t capitalized on it, other commodity impacted costs, let’s say natural gas or whatnot, generally that’s coming down. We haven’t been able to capitalize on it really fully at our re-refinery were, it’s a bigger part of the consumable because of the hedge that’s coming off, thank God. But so that’s a little bit of a tailwind, but generally it is disposal that we think we’re going to have to react to, as Brian said here, probably again maybe as soon as this quarter. 
Tobey Sommer: Yes, understood. I’m curious, we’ve heard about employee retention improving markedly at across different pockets of our coverage year-to-date. Maybe the average employee is watching macro headlines a little bit more than wanting to hunker down. What’s the company’s experience been and is there, a change that’s noticeable this year versus last?
Brian Recatto: Yes, I’ll talk at a high level to it, Mark, probably has some data that, he can point to, but certainly better Tobey, it was challenging last year because of demand, mainly around CDL drivers. There’s certainly a shortage of drivers in 2022. Our Vac trucks require a CDL license that has improved meaningfully this year. Because of the slowing economy and the layoffs that we’ve seen in some of the big box warehouses. We’re seeing more robust applicant pools at our branch locations. So it’s a bit easier to hire.  We still have to work hard with our short service employees and make sure we train them properly to get them comfortable with our complicated business. That’s something that we’re working on internally. We’ve developed a more robust trading program to not just hand the guys the keys and tell them to go start picking up waste. It’s a complicated business – lot of different service lines as, a lot of different EPA waste codes. A lot to learn on the environmental front, but all in all, it is definitely better. So what you’re reading is true.
Tobey Sommer: Yes, we’ve seen, and it can be sometimes a little dangerous to annualize maybe one quarter, but if we would do that, we’re probably on track to, if we do that with Q1 2023 Tobey, we’re probably on track to be a couple percent lower in total turnover than 2022, which had ticked up from 2021. So 2023 starting out as if it’ll be lower than the last couple years. Not materially lower, but given what Brian said, just the fact that especially on the rep side, we have, I think a big bigger challenge if you’re starting to compare us to other industry players because a lot of our people are both combined sales and service rep responsibilities. And that’s always just off the top, I think, or foundationally a lot higher, harder, excuse me, to hire and retain. Because it is something that most people get into it, haven’t done it before.
Operator: Thank you. [Operator Instructions] Your next question comes from the line of Quinn Fredrickson of Baird. Please go ahead.
Brian Recatto: Hey Quinn, how are you?
Mark DeVita: Good morning, Quinn.
Quinn Fredrickson: Hey, morning guys. So I just wanted to clarify, go over the outlook comments that you mentioned, Brian just make sure I got it right. So I think the industrial and field, you said mid single digit growth and that was quarter-over-quarter and then ES mid-teens. Is that accurate?
Brian Recatto: Yes, that’s right. Mid-to-high in industrial and field services and mid-teens in our legacy ES business, we’re still seeing robust demand at the field level, but obviously we read the same thing you guys were reading about macroeconomic conditions. We are a bit more worried about the long-term, but we’re tremendous demand out in the field right now.
Quinn Fredrickson: Okay. All right. And that, so that was the legacy ES comment. Is the Industrial and Field Services revenue, I mean, is it kind of similar to what it was in the first quarter? I’m just trying to make sure we’re building off that right now.
Brian Recatto: Yes, mid-to-high single-digit growth sequentially.
Quinn Fredrickson: Okay, perfect.
Mark DeVita: Yes, so we expect it to ramp up and kind of in the back end of year, we didn’t go much further, but as much as we’re excited with the PFAS opportunity that hadn’t really – it didn’t contribute much in as far as pure revenue in Q1. So hopefully if we get more equipment in, obviously that’s dependent on our partners, but we see upside and that’ll be part of the – a bigger part of the revenue growth story as we proceed through the year.
Brian Recatto: Yes, I think we always signal that to produce more growth toward the back end of the year just because of what Mark mentioned relative equipment. But we are fully operational and Grand Rapids now treating PFAS leachate waste at a commercial level. I mean, we’re running about a 100,000 gallons a day of processing currently. We expect that to go to two near term. We just added another piece of equipment, so going well so far.
Quinn Fredrickson: Okay, thank you. Maybe shifting gears to the Oil Business. Can you just update us maybe on production targets for the year and utilization? And then secondly, one of your competitors had mentioned that they’re now in a modest charge for oil position here to start the second quarter. Could you maybe give us an update on where you stand today?
Brian Recatto: Yes, I’ll talk a bit from a macro standpoint. We’re still expecting our overall base oil production to be in the 47 million gallon, 48 million gallon range. Second quarter’s going to be lighter obviously because we moved the turnaround into the second quarter, which was the right thing to do for us with base oil demand being a little bit soft. So, we’ll produce roughly 11 million gallons in Q2. And then in terms of what was the other question? One more – what was the other question Gerard you asked about base oil, which are covered. I’ll use motor oil. Certainly we’re not at a charge for oil on the used motor oil front, because we don’t have a significant presence in the western half of the U.S. where the market’s a bit different. But we are going to aggressively move our pay for oil down substantially, and we hope to get to a low single digit pay for oil by the end of this quarter. So we’re going to move it quite a bit over the quarter. We’re still relatively long for oil. We’ve got quite a bit of inventory, so we’re in good shape, which will allow us to drive the price we pay for oil down meaningfully over the quarter.
Quinn Fredrickson: All right. Thank you very much guys.
Brian Recatto: Thank you.
Operator: Your next question comes from the line of Michael Hoffman of Stifel. Go ahead please.
Michael Hoffman: Thank you very much. Good morning, Brian and Mark.
Brian Recatto: Morning Michael.
Michael Hoffman: Could I just to zone in on the oil, where do you think capacity utilization? I’m just doing the quick math. I think it gets to me somewhere in the 80s for the second quarter versus i.e. 90s, 100%.
Brian Recatto: Yes, that’s right.
Michael Hoffman: Okay.
Brian Recatto: That’s right. What the expectation that base oil demand Michael’s going to pick up.
Michael Hoffman: So I have a curious question following on that. So the gasoline supply is tight and there’s been good demand and the gasoline resupply numbers suggests we’re driving. So what do you think is happening?
Brian Recatto: That’s a good question. We ask ourselves that every day. I mean, I don’t know if the recession’s impacting people’s desire to change oil. I know the export markets are not very good. Michael, as you’re well aware, I mean, China’s economic slowdown hasn’t helped that, I mean, India’s demand is down a bit, or at least they have plenty of supply, so they’re not ordering a lot of base oil. So we’re not seeing a robust export market conditions. And I think, some of our blenders in talking to our wholesale customers are a bit reluctant to fill their tags up with the expectation that pricing may go down a little bit over Q2. So, I think heads and their bets on where they think pricing’s going to go. We do think demand’s going to begin to pick up and Q2 it has to, I mean, people are driving, they are going to change oil, so it is going to get better.
Michael Hoffman: So my history with this, when it was back and it was independent, it was just safety clean, for instance, that the consumer will lengthen their oil chain cycle by a month, 1,000 miles.
Brian Recatto: Yes.
Michael Hoffman: Are you seeing that in the parts washer business that service intervals are lengthening?
Brian Recatto: We haven’t seen any meaningful changes in parts washer intervals.
Mark DeVita: No, it’s been, it’s actually been pretty good. That’s, we also look at another indicator, Michael, where uncertain services we can offer if the customer really doesn’t need a full service. It depends on within the parts cleaning menu, specifically what it is, but a slim down service. And those are usually kind of the canary in the coal mine for us anyway, for our business on the parts cleaning side. And that’s actually going, I mean, not much, but incrementally lower the last month or two. So it like Brian said, it all points to, you can stretch it out a little bit, but it’s got to be coming that, that the wave’s got to be here soon as far as oil change, I mean.
Operator: Thank you. Your next question comes from the line of Kevin Steinke of Barrington Research. Please go ahead.
Brian Recatto: Hi Kevin, how are you? 
Mark DeVita: Good morning, Kevin.
Kevin Steinke: Good morning. How are you?
Brian Recatto: Good.
Kevin Steinke: Good, good. Can you hear me?
Brian Recatto: Yes, we can hear you.
Kevin Steinke: All right. Good. Thanks. All right. Well, in the past you talked about in the Environmental Services segment you were getting more inbound calls from potential customers due to service shortfalls at competitors. And the fact that you had retained more staff during the pandemic driven downturn was benefiting you. Is that still a factor that you’re seeing in the market that’s aiding your organic revenue growth or other competitors kind of caught up with their staffing? What I’m just wondering, if you’re seeing kind of that elevated volume of inbound calls?
Brian Recatto: Yes, we’re not seeing the elevated volume of inbound calls. They’re still having some service issues out in the marketplace, mainly around hazardous waste, not so much the other industrial waste streams. And within the hazardous waste category specifically incineration because there’s just a shortage of supply overall in that marketplace. But we’re still seeing tremendous demand and I think we are, because of the way we pay people, I think we do out hustle them because of our commission structure and that is leading to outsized growth certainly, but not the level of calls that we were experiencing. But I still think we’re going to have outsized growth relative to our peer group.
Kevin Steinke: Okay. Yes, that makes sense. Just thinking about the new Industrial and Field Services segment, how lumpy would you expect that to be from quarter-to-quarter? If you get some larger field services projects then or is that at a scale where there wouldn’t be meaningful ups and downs quarter-to-quarter?
Brian Recatto: Yes, we’ve got a pretty, Kevin, a pretty good base business. So we didn’t do a lot of extraordinary projects in Q1. None that I can remember. We’re in the bird flu [ph] business and we didn’t have any bird flu cases throughout Q1. So no large event project. So that’s kind of our recurring based business. Obviously, there are lots of projects for our smaller customers, but we think there’s an opportunity to continue to grow that as we expand. Even out west, I mean, we’re really starting to integrate our operations. Our guys are talking to each other. The Patriot people are beginning to do some work for our branch locations. So it’ll be lumpy if we land a big project or two. But I think the first quarter was mostly base business.
Mark DeVita: And we’re going to try if and when we land those jobs, and I should say not – if, when we land those jobs, because it’s just a matter of time when those come in. It’s something you can’t control. But we’ll try and call that out.
Brian Recatto: Yes, Mark.
Mark DeVita: And let everyone know what the pre – the adjusted version of the or what the base is, what we would call base business is on Industrial and Field Services. So hopefully that’ll help going forward. But our average project is still pretty small. It – a lot of it – it’s changing and that’s a good thing. But as it evolves even on the legacy, in a sense, Patriot on the legacy side of the business, it’s still less than $10,000 projects or per project. So in – compared to per service in the what is now in the ES segment, yes, that’s really high. But for Industrial and Field Services in general, if you ask around.
Operator: Thank you. You have another question from the line of Michael Hoffman of Stifel. Please go ahead.
Michael Hoffman: Yes, I just wanted to follow up on the demand side and we all read this, enlist to the same financial news. They’re all trying to talk us into the world’s falling apart. But what are you seeing across either the breadth of the end markets or the types of things you’re getting asked for that give you comfort that there’s stable demand?
Brian Recatto: Mike, can you repeat that – audio problem?
Michael Hoffman: Yes, no problem. So Brian, you were comfortable about talking about there’s still good strong demand and we’re all reading and hearing the same financial news that’s trying to talk us into a recession. But what are you seeing between the breadth of either the customer base, being widened helped by Patriot as well as your own efforts in ES or specific activities that like is there reshoring influencing this or is there infrastructure IIJA spending happening that’s trickling through the model? What’s giving you comfort about – there’s a decent demand environment from your perspective?
Brian Recatto: Yes, I don’t think any legislation has created any additional demand, Michael, at least through the first quarter, we don’t expect it in the second quarter. I’m getting my information just from routine phone calls with our branch personnel and they’re not experiencing any slowdown at the manufacturing level with their individual customers. Nobody’s reducing production out in the field, which would impact our business. So that and we talk about, at least in our prepared remarks that we worry for the same reasons you do because we’re trying to talk ourselves into recession, but we’re certainly not. But not a lot of infrastructure growth or opportunities relative to that that we’re seeing so far. I haven’t seen any reshoring some, any additional manufacturing opportunities near term. There are lots of talk about projects being developed, but they’re not producing waste yet.
Michael Hoffman: Okay. And then…
Brian Recatto: We’re very bullish for sure.
Michael Hoffman: Yes. And California had terrible weather and you now have a bunch of new assets in California, was that disruptive?
Brian Recatto: No, it really didn’t hurt us that much. I mean, we actually produced a little bit of flood-related emergency response work it as a result of the bad weather there. So, not really a negative for us.
Mark DeVita: Yes, especially in January, it did help the Patriot business. Usually that’s a pretty slow time for them, but the flood work helped.
Operator: Thank you.
Michael Hoffman: Okay. Thank you.
Operator: There are no further questions at this time. This concludes today’s conference call. You may now disconnect.